Operator: Greetings. Welcome to Innovid's Third Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I'll now turn the conference over to Brinlea Johnson with Investor Relations. Brinlea, you may now begin.
Brinlea Johnson: Thank you, operator, and everyone for joining us today. Welcome to Innovid's third quarter 2022 conference call. Before we begin, I would like to remind our listeners that certain information provided on this call may contain forward-looking statements. The safe harbor statement contained in today's earnings release also pertains to this call. If you have not received a copy of the release, please direct yourself to the Investor Relations section of the company's website. Changes in our business, competitive landscape, technological or regulatory environment and other factors could cause actual results to differ materially from those expressed by the forward-looking statements made today. Our historical results are not necessarily indicative of future performance. As such, we can give no assurance as to the accuracy of our forward-looking statements and assume no obligation to update them, except as required by law. In addition, our discussion today will include references to certain supplemental non-GAAP financial measures, which should be considered in addition to and not as a substitute for a GAAP results. We use these non-GAAP measures in managing the business and believe they provide useful information to our investors. Reconciliations of the non-GAAP measures to the corresponding GAAP measures where appropriate can be found in our earnings presentation available on our website as well as our earnings release and our filings with the SEC. Today, we are joined by Zvika Netter, Innovid's Co-Founder and CEO, who will begin the call with a business update. Then he will turn the call over to Tanya Andreev-Kaspin, Innovid's CFO, who will discuss the financials of the company. During the question-and-answer session, Tal Chalozin, Founder and CTO, will also be joining. Lastly, I would like to highlight that we are planning to host our first Investor Day on Wednesday, November 16, 2022, in New York City. Please look to the details of the Investor Relations section of the company's website.  And with that, I'd like to pass the call over to Zvika Netter. Zvika, please go ahead.
Zvika Netter : Thank you, Brinlea. Let me start by thanking all military veterans and of course their families for their service. Happy Veterans Day. Innovid produce strong results in the third quarter of 2022. Delivering revenue at the high-end of our guidance and exceeding EBITDA expectations. Revenue increased by 47% year-over-year to $34.5 million on an as reported basis. And CTV continues to break records for the business, accounting for 50% of the revenue excluding TVSquared in the third quarter. We also generated a net loss of $11.8 million in a positive adjusted EBITDA of $2.9 million. This exceeded our expected range of negative $2 million to breakeven. A testament to the proactive measures we have taken to improve margins through the post-merger synergies. We are pleased with our ability to deliver top-line growth despite ongoing economic uncertainty. We feel confident our business will continue to thrive due to our leadership position in the CTV and broader converge TV industry.  During the third quarter, we strengthened our position to focus on expanding the scale of the Innovid platform across the full gamut of delivery, personalization and measurement by strengthening the existing partnership as well as introducing net new partnerships to drive incremental reach and impact. In particular, we see the plan to launch ad supported offerings from leading streamers such as Disney Plus, Netflix, and Warner Brothers Discovery, steel to drive the next wave of growth for our business. Innovid has been trusted time and time again to power tech automation for some of the biggest properties in TV advertising. This includes NBCU for ad delivery during the past and upcoming Olympic Games, CBS to power interactive ads during the Superbowl, and Peacock relied on Innovid to implement creative compliance tools to achieve what we believe to be among the highest quality levels in the industry. I'm pleased to share that Innovid is working to be one of the few technology providers empowering to deliver ads on December 8, when Disney Plus launches its ad supported tier. This expansion of our long-standing partnership with the Disney Family dating back to our initial integration with Hulu over a decade ago. And it's symbolic of their confidence in our platforms quality controls and the ability to keep pace with the demands of concurrent livestream. In support of Netflix recent basic with ad launch, we have also updated our assets validated to adhere to Netflix new creative specifications. This allows our advertiser clients to continue leveraging Innovid for streamline validation of TV ads and consistent workflow delivery across all major streamline publishers, including Netflix. According to Innovid's own recently commissioned study, one of advertiser’s biggest pinpoints for converge TV advertising is fragmentation. We believe the market needs unification across platforms and inventory types. The open internet and Walled Gardens are alike to deliver against the promise of the new TV landscape. We believe Innovid is uniquely suited to rise to this call, due to our independent stance and the depth and the coverage of our software infrastructure across converge TV and digital. I'd now like to build on the app that we provided in the past earnings call and show more details on the current and future state of our business. Per usual I will provide these updates within the context of our four key growth drivers, which are: volume growth, product upsell, geographic coverage, and client base retention and expansion.  First, volume growth. Once again, CTD had a record breaking quarter for Innovid, accounting for 54% of total video impressions volume, excluding TVSquared. Reinforcing that the shift from traditional to streaming is growing and persistent, our overall CTD volume grew 36% year-over-year, outpacing U.S. CTD ad spend according to e-marketer, which is projected to grow 23% year-over-year in 2022. The consensus is that linear TV advertising has passed its peak, which presents new opportunities for advertisers to adopt traditionally digital centric strategies on the big screen and know-how. We believe the demands for automated technology to help unify converge TV advertising will expand as viewership increasingly pivots to the streaming space and Innovid will continue to deliver volume growth. Let's now move to our second growth engine, product upsell. We believe the power of our platform to unify delivery personalization and measurement in one place is a huge value add to marketers. And we are succeeding in upselling our products. In the third quarter, advanced creative revenue grew 24% year-over-year and measurement revenue grew 23% year-over-year. We're not including our TVSquared acquisition on a [performance] basis. Last quarter, we discussed the launch of our expanding global cross platform measurement offering, InnovidXP. We launched InnovidXP, the first global unified cross platform measurement solution directly integrated with ad serving data and creative personalization to solve advertisers need for simple, scalable, independent and actionable view of their investment across all forms of television. Since then, InnovidXP has gained significant traction in the market and has been adopted in the past quarter by leading advertisers such as AstraZeneca, Diageo, eBay, Universal Parks and more. In the third quarter, we onboarded several new large advertising clients including American Family Insurance to our personalization module. We also expand our partnership with Verizon, a long-standing ad serving clients in one of the largest TV advertisers in the U.S. We chose to consolidate both delivery and personalization within Innovid, moving away from [silo tech partners]. So growing their Innovid partnerships into personalization, Verizon has been an early adopter of our recently debuted advanced auto optimization capabilities. These recent upgrades of our personalization offerings allow advertisers to intelligently adjust what ad consumer are seeing based on statistically significant understanding of which combination of elements drive six reports. In a recent announcement, Steve Murray, Director Performance Marketing, MarTech and Analytics at Verizon, said in a quote “Innovid auto optimization enable algorithmic decisioning to constantly iterate for the KPIs you care most about. Simply activated, but highly customizable, Innovid is providing the technology needed to make everyday enhancements a reality.” And our personalization capabilities were also expanded in the third quarter to support dynamic creative optimization via unique purchase data through the partnership with NCSolutions. Through this collaboration, Innovid advertisers can now leverage real time NCS data to shift dynamic creative delivery based on in store sales, a revolutionary way to enable always on intelligence for data driven DCO campaigns.  Another key and highly differentiated component of the Innovid platform is the CTV, SDK. That enables advanced creative features such as personalization, commerce, and more in connected TV environment. This quarter, we are proud to share that we extended our deployment of the Innovid SDK to Paramount+ extending years of partnership. We expect to continue to upsell and bring Innovid new products to our impressive list of customers. Let's move on to our third growth engine. Geographic expansion. We successfully introduced new capabilities beyond the U.S. with global entities in the third quarter. Notably, we were selected by meeting demand side platform, the Trade Desk to enable always on incremental reach analysis across CTV campaigns in the UK and German powered by the InnovidXP measurement platform. Selected users of the Trade Desk now have access to our suite of cross platform incremental reach analysis insights for advertisers running campaigns on CTV. These insights allow advertisers to surface incrementality of string beyond linear TV, as well as unique reach by publishers, including publisher by publisher analysis.  By uncovering the overlap, these advertisers can maximize the household level reach for their programmatic CTV strategies in a highly fragmented market. In the announcement of this integration, Steve Martin, Vice President of Data Partnership EMEA, APAC as the trader said both the CTV adoption steadily increases across the globe, we're making incremental reach analysis available to advertisers that have audiences fragmented across channels and screens directly within our platform. Selected advertiser can now activate Innovid always on automated measurement platform to ensure they reach the right audiences on the channels where they are actually watching their favorite TV content and code. Expansion into other European countries and Australia is expected in 2023.  Now let's move to our final growth pillar, expanding our client base. This past quarter we on boarded over a dozen new advertising clients. Many references throughout this call. To various models of our platform spanning ad deliver personalization and of course measurement. But we have also diversified our client base and have significantly grown our pipeline of mid-market advertiser opportunities. Before closing, I'd like to address the economy.  Despite ongoing concerns about macroeconomic conditions Innovid business has continued to grow, and testament to the strength of our market position and underlying product offerings. CTV continues to search to see a better combination of new platforms inventory, such as Amazon Thursday night football moving into the streaming space. While we expect to continue to see positive growth overall, we remain mindful of the economic uncertainties that are impacting the advertising industry and are taking proactive measures to monitor and manage costs relative to the offline growth.  As we head into the last quarter of 2022, we remain committed to our core 2022 strategies, and will continue to make investments we believe are important to capitalize on the growing converge TV space. As always, we remain pragmatic in our investment approach, that we'll continue to focus on driving efficiencies to boost both overall profitability of the business. While we focus on continuing to grow top line revenue.  I'll now pass the call to Tanya, who will go into greater detail regarding financial performance and guidance. Tanya?
Tanya Andreev-Kaspin: Thank you, Zvika and good morning, everyone. We're pleased is our third quarter results. We delivered substantial profitable growth on an adjusted EBITDA basis. Already increased by 47% year-over-year to 34.5 million. The growth was driven by a number of factors. First, revenue from measurement, which following the acquisition of TVSquared became a significant revenue driver for Innovid, generated 23% of the total quarterly revenue. That's up from 1% of the revenue in Q3 of 2021. And it grew 23% on the pro forma basis. Second, revenue from ad serving and personalization services contributed 77% of total quarterly revenue and grew 15% year-over-year in aggregate. Personalization grew at the higher rate of 24%. Our ad-serving and personalization revenue closely correlates with the ad impressions volume serves to innovate platform. In the third quarter, CTV impression volume accounted for 54% of all video impressions up from 46% last year, and it grows 36% year-over-year. Mobile impression volume decreased by 1% and accounted for 33% of all video impressions. And desktop impressions increased by 6% and accounted for 13% of all video impressions. We expect CTV ad serving, personalization and measurement offerings to continue to drive our growth. Turning now to geographic breakdown, this is the main contributor to our revenue, accounting for 92% of total revenue, and growing 48% year-over-year on as reported basis. The U.S. is the global leader in CTV adoption and innovation, and our main focus for deployment of investments. Our total international revenue grew 38% year-over-year on as reported basis, contributing 8% of the quarterly revenue. International revenue were impacted by the headwinds from straightening of the U.S. dollar, which also is expected to continue through the fourth quarter of the year. Moving to costs now, total operating expenses for this third quarter, excluding depreciation, amortization and impairment costs were 38.6 million and grew 31% on a reported basis. Nearly 90% of that increase in the quarterly operating expenses is attributed to the inclusion of TVSquared in our financials, an increase in install-based compensation. In the third quarter, we activated post-merger synergies. It drove savings in operating expenses in benefited our bottom-line. Focusing on operating efficiencies and the resource optimization is critical, while navigating uncertain macroeconomic conditions. In addition to driving post-merger synergies, we will continue with measured headcount and operating expense growth, while investing in innovation that further advances our leadership position in CPD space. Networks in the third quarter was 11.8 million on an EPS of negative 0.09. It was impacted by finance expenses of 5 million, primarily derived from our warrants being revalued due to market volatility affecting the company's share price. Adjusted EBITDA for this third quarter was 2.9 million representing 8% adjusted EBITDA margin. An increase in adjusted EBITDA 1.5 million in this third quarter of 2021 was the result of revenue growth, improvement in overall operational efficiencies and synergies realized fallen at this fair acquisition. The impact of those operational efficiencies and synergies is not temporary. These actions will have a long-lasting effect. As a company we're laser focused on long-term profitability and margin growth. Moving to our balance sheet, our cash and cash equivalents ending balance was 46.5 million. Given our margin profile, we believe that we are well capitalized at this time. The total common stock outstanding as of September 30, 2022 was 133.5 million. Finally, I would like to go our overall guidance. Traditionally, the holiday season and the fourth quarter are the strongest for our industry. However, this year macroeconomic uncertainty, inflationary pressure and still lingering supply chain issues may create strong enough headwinds to offset the standard seasonal increase in advertising spend. Considering the current macroeconomic environment, we're tightening our previously stated revenue range for the full year of 2022. We expect revenue to be in the range of 127 million to 129 million. This guide reflects 41% to 43% year-over-year growth on as reported basis, and 17% to 19% year-over-year growth on a performance basis. We're also pleased to share that we expect near breakeven all positive adjusted EBITDA for the full year of 2022 an improvement from our previously shared guide of negative minus six or better. Consequently, for the fourth quarter of 2022 we expect revenue to be in the range of 34 million to 36 million reflecting 31% to 39% year-over-year growth on as reported basis, and 6% to 12% year-over-year goals on a pro forma basis. We expect positive adjusted EBITA in the range of 1 million to 3 million.  With that I would like to hand the call back over to the Zvika to take your questions. Thank you.
Zvika Netter : Thank you, Tanya, and thank you all for joining us on this call. We'll now open the line for questions. Operator, please go ahead.
Operator: [Operator Instructions] And our first question is from the line of Andrew Boone with JMP Securities. 
Andrew Boone: I'm trying to get back into organic growth for 3Q and it assumes kind of online numbers of mid-teens level that feels like it's slower than CTV to me, so just help me understand what's going on with shares, Google taking share is CTV growth being driven by smaller advertisers do you guys aren't addressing? Or is the CTV market overall just slowed down to some level that's below that. So anything on share would be helpful. And then as we start to think about next year, you guys highlighted the post-merger synergies you enact in 3Q. Help us understand how you're thinking about OpEx and cost for '23? Thanks so much.
Zvika Netter: Andrew, good morning. Thanks for the question. So in terms of the and Tanya, I'll say a few words and I'll move to you. Actually in terms of share, we were the country we're not seeing shrinking share with maintaining our very high core customer retention rate that's sometime was between 95% to 98% in earlier day when we reported it, and we actually close more and more customers and logos as we shared. So we definitely by far win more customers than lose and our share continues to increase.  I would also say that CTV in general was the percentage continues to grow. As we mentioned, we and I believe it will continue over in every year we will break records with how much of our business is driven through CTV. So actually, while CTV continues to grow in spite of the headwinds where you see a flat or decline you see the run mobile and desktop. As by the way, I believe some other companies report in Q3. So, CTV is actually growing to 36% year-over-year in third quarter, which is higher than what the marketer suggests is for this year, in spite of the headwinds, actually CTV, we believe is more immune to overall pressure than desktop mobile display in other formats. I don't know Tanya, if you have anything to add to that, we can move to the next question.
Tanya Andreev-Kaspin : So previously if I mention is remaining our strongest growing category. If you compare it to desktop and mobile, and we're going to continue this way. On the operating expenses are absolutely, we are very proud, as we mentioned delivering great results, really a profitable, sustainable growth in Q3. And that's actually due to the actions that were taking and synergies improving our operating efficiencies, as we expect that to the effect to be felt also in the following quarters.
Andrew Boone: And on post-merger efficiencies, obviously, we given the headwinds that we started seeing earlier in the year, we accelerated the integration of TVSquared from both cost efficiencies and process and organizational structure, efficiencies, and we're already seeing the foot of this labor. As we obviously are very attuned to what's going on in the market, we have a very good perspective of the different verticals, the different publishers, wall gardens, programmatic, different devices, we see all the trends because we cover a massive part of the industry. So we're definitely seeing the pockets of softness, and it's more volatility than softness. So what we're going to do is balance between the constant growth and we believe that will absolutely continue to see growth in CTV advertising, because of the switch from linear to CTV. So the eyeballs are moving, timespan is moving on ad based model, especially with Netflix pushing forward Disney+ pushing forward. So we're definitely expecting to see that as a tailwind. At the same time, as we all know, there's some softness in overall spending on advertising. So we'll constantly need to monitor that and we have plenty of levers that we can pull because Innovid invest massively innovation, sometimes two and three, four years ahead. And as we demonstrate in Q3, it's relatively easy for us to change some levers in terms of how we invest, to make sure we stay with EBITDA positive at minimum.
Operator: Our next question is from the line of Shyam Patil with Susquehanna.
Shyam Patil : I had a few questions. And the first one regarding kind of your comments on Netflix, how do you guys think about the size that opportunity? And two, I guess somewhat related, with the launch of all of the new large AVOD services that we either seen or going to see and the increase in available inventory. Is that all positive for you guys given how you are, you're more attached to kind of volume trends for CTV? Or are there any risks that we should be aware of? And then last question, do you think that CTV advertising could be counter cyclical in the sense that weakening macro could lead to more cord cutting and it's already ship towards CTV? Thank you, guys.
Zvika Netter: Thanks so much. So definitely Netflix is a very exciting topic for us. We feel it's a huge win, when Netflix for many years was opposed to ad-based model and was actually leading that the anti-ad based model for them to make this change. And this was kind of a headwind from us, since our AVOD, what's going to happen. But we always said, and it's now clear that AVOD one, that people want to have the options and definitely ad based, you know, lower cost to free cost. A way to consume content at scale has always been part of the $200 billion of TV advertising and the TV industry. So absolutely, this is a very positive signal. So there are several benefits of Netflix doing ad based. To your point, the media prices, whether they go, lower [indiscernible] because of additional inventory, none of them saying it doesn't necessarily happen but it's actually doesn't really affect us. In theory, it actually allows more brands to participate increased volume. So it's a classical supply and demand situation. So prices go down if the budgets are set, which by the way, they're not necessarily set right now. But if the budget is set, let's say $100 million, you can reach a broader audience, you can better target. So that actually means more volume. So since we're volume base, and that media percentage base, there is no pressure on our pricing. And actually, you can and should see volume going up. So it's basically you can see it as Netflix and Disney Plus and others pushing more and more people from linear television to connected television.  Another benefit of both Disney Plus and Netflix is the global aspect. I believe Netflix started with both countries; a lot of people consume Netflix around the world. So until now, YouTube was the only kind of will mega power. But now Netflix will push CTV all over the world and we have a global footprint. And then your last point in terms of downside there actually a third positive about this, it proves the point that the future of television is not about one or two major platform like Google for search, Facebook for social, Amazon to commerce, what we refer to big tech, where we believe that the future of television at least several major, major powers that are not going to be limited just to a couple. So while you may see some of them building kind of what's referred to as walled gardens, their own analytics, their own creative, etc.  Large brands type of our customers will always need a platform that is neutral, that we'll be able to deliver to all these platforms, Netflix just released their own spec for creative. And we'll be able to aggregate all the data back from all these platforms. So if you are Procter and Gamble, or Apple or Verizon, you have to have a platform, which is a single point of contact. For delivery, creative optimization and measurement. And this is exactly what we do. And the other alternative is Google.  So you can assume that if it's up to a Netflix or Disney or Roku or Trade Desk, they would rather open their gates and have better workflow and efficiency with somebody who's not competing with them. And that that is the nature of neutrality. So the bottom line of this is we're extremely excited about this. And Tal, do you want to take the counter cyclical question?
Tal Chalozin: Sure. So to question if we think CTV advertising is counter cyclical and we definitely agree with your point of view is that with current economic status, it pushes more people to disconnect the call, I think, as many other people that test to support is probably the biggest driver for that. So as you're seeing the Thursday night football lunching on Amazon Prime driving a lot of Prime subscription and Amazon, hitting all time highs of number of people watching streaming concurrently. All of those events are drivers of viewers into the streaming platform. And for us, this is all great tailwinds as you mentioned, in your question, where a volume based business. So we really don't care who wins. That's a very important point about our businesses that Zvika Netter mentioned as well, we're not leaning towards specifically a wall garden, or an open Internet, we monetize everything, and as long as volume goes up, it's positive for us. So we definitely think that the CTV could be a winner even in a downturn.
Zvika Netter: Just one point, we care who wins, we care about our customers the brands, who, we believe can achieve more via CTV. And kind of actually a fragmented none monopolistic environment is good for everybody. And, of course, the end consumer, which we care a lot about, we believe the experience of watching television is going to get more better and better, less disruptive, more relevant, with a better ROI for both the user for the time the viewers and the marketers for their media dollars, it will be better targeted, personalized, and better measurement in terms of effectiveness. So it's a win, win for all.
Operator: Next question is from the line of Shweta Khajuria with Evercore.
Shweta Khajuria: Zvika, could you please remind us the how differentiated InnovidXP is, I mean, there are a lot of other emerging and competitive options for measurement and attribution in connectedTV. So how understood that you have the scale and data advantage because you cover a lot of households. But remind us please how the measurement capability is different and why you would win in measurement? And then second is how long does it take when supply comes on, new supply comes in the market. So Disney+ to be integrated with Disney+, so that you can surf, Netflix, et cetera? What is the process like?
Zvika Netter: In terms of InnovidXP, just to remind everybody that InnovidXP is the outcome of the combination between our own CTD analytics product that's been available for more than two years now, that did not get a lot of traction, because the feedback we got from our customers was CTV is great. It's the future it's digital. But what's really been interesting to see linear versus CTV, if you want to see like reach and frequency overlaps, attribution efficiencies, all these things, you have to include both. And this is what led to the acquisition of TVSquared immediately right after our IPO and for the fast integration. So InnovidXP was launched in June, as the first version of those two worlds combined the CTV world and the linear world to a joint product. And we're already seeing great adoption for this product. As you mentioned, whether there's several kind of, I'll call it unfair advantages, when we go to market is.  First of all, we have a very strong client base that already uses, hundreds of advertisers getting close to half of the top 200. So these are large advertisers been working with us for five, seven years, we have all their CTV data, not just the future, we also have backwards, all the CTV impression by impression data. So from a data perspective, workflow perspective, efficiency perspective, those systems are already integrated, and we'll be leaving 2023, we're going to release further features that rely on this integration. And the reason I'm saying this is an unfair advantage, because the chances that either even the largest measurement provider, the legacy one, or some of these, kind of early challengers that you mentioned, will have a very hard time to almost no chance to build the CTV, like an ad serving CTV infrastructure, like we've been building for 15 years and winning share from Google, that combination, we believe is very, very powerful. And we're already seeing early adopters for that, I'm not fooling myself that to your point, they're just the other platforms in the market. And definitely, it's not going to be an overnight, we're going to crush the market. But we prove that we are very persistent and very focused. So between the combination of the ad serving, the measurement, and also the creative, we just mentioned, the creative optimization we launched a feature, the optimization is actually can get signals also for measurement.  So if you look in the future, that we're constantly delivering personalized creative, measuring the outcomes across the CTV and linear and optimizing. This is something that is extremely unique and we don't believe there's any other company in the world right now. That is doing the delivery, the creative optimization measurement without the media components, like a neutral. So from that perspective, we're feel very comfortable and that's why we made the acquisition. And then we said, you said many, I would say that, actually not that many. And I believe the headwinds that are now an industry that's impacting everybody will also impact the ability for smaller companies to raise additional funds, challenge those who are not profitable like we are. So I think there's also in this type of economy, there'll be very significant headwinds to somebody who tries to enter either ad serving or management. Tal, do you want to talk about the process of onboarding platforms like Disney Plus and others?
Tal Chalozin: Of course. So thank you very much for the question. So for us, a very core component of Innovid and the value that we give our customers is the ability to deliver ads everywhere. So there's north of 8000 different apps and services and devices that were integrated with and we're constantly making sure that we're aligned with Disney Plus is one of them. And we're ahead of the launch, we're working with the team on aligning the quality of the ad, and the other data access in terms of a device ID or any type of other components that we can get access to. And any other workflow tools that that is needed. All of that is encapsulated in our UI, that enable Innovid customers want to deliver an ad across anywhere on the internet, as we said earlier in an open internet platform, a walled garden, or any other place. It all encapsulated in a very simple workflow, and they don't care that under the hood, those very distinct integration.  By the way, just shameless plug, next week we're doing our Investor Day, and we're going to showcase what I'm describing right now as part of our demo.
Zvika Netter: Just to complete the answer, I believe you asked about how long it takes. So what that does described, the incentive is, the 90% of the answer which is the incentive of those large platforms is, because I'll just give you an example based on the data that Netflix released, in the press release that they named nine advertisers that our launch partners. Of those nine, seven of them are innovate at serving customers. So the picture from that perspective is clear to them that we are definitely a significant force in industry, and we pose no threat to them. So you can imagine it's in their best interest is in class Netflix, to partner with us to make it seamless for their customers to deliver ads into those environments from a workflow perspective from a measurement perspective. So you read this conversation, as to your question on timing take place, sometimes six months or earlier. And we both I believe the destination platforms and definitely us, there is benefit to be partnering as close as possible to the launch of a platform, or at least the, let's say, post beta launch, like the more scaled launch of the platform. We believe, we should, it makes sense to everybody that we will be part of that workflow, because it doesn't cost the platform any additional dollars. It doesn't pose any threat. We don't do anything where their data and actually makes their work and their life much easier from a streamlined workflow perspective.  So bottom line, we're talking six months to three months timeframe, but the more important part is their incentive to do it and disincentive potentially to do it with others.
Operator: [Operator Instructions] Our next question is from the line of Laura Martin with Needham & Company.
Laura Martin : So my first question is, I want to follow-up on Shweta’s question and ask the other side. What are the top three reasons people do not adopt XP, when you run into conflict of why they're not taking or was a top three negatives that give you?
Zvika Netter: Okay. Of course, I need to think, first of all hi, Laura, I need to think harder on that. Because it's hard to imagine, why would somebody not choose. Joke aside, I mean, look, the it is a new offering, right? If you remember, TVSquared came from, which is a great benefit to us mid-market, their classical legacy clients will be more performance TV advertisers like, Peloton or GoDaddy, which is a great place to be, because I think you asked us in the previous calls, like, kind of the future of CTV in terms of you're going to see more and more new entrants that are smaller, that are more going to be driving towards performance. So that's why TVSquared build a really phenomenal product to track performance, which in frequency. And what XP does is takes this and our go-to-market takes it to the large customers. And then enterprise sales is always anywhere between 6 to 12 to 14 months to begin with, you can't do a large organization with a new solution, even if it's from an existing vendor, you have the relationship, but the actual adoption can take three to six to nine months easily. So we have that, so from the time of release. So I will say, it's time also, some of them already use obviously, almost everybody's using Nielsen. So somebody is using already something. So it's about delivering a new platform, making clear what the benefits are from this new platform. And so I would say that's the either an incumbent that takes time, like a classical enterprise sale, and they're relatively new, the combined offering is very unique, but also relatively new. So there's the classical graph of early adopters, late adopters and all that stuff. The benefit is a very hot subject right now. It's something that everybody wants to talk about. So in terms of taking meetings where we have hundreds of meetings since the launch of XP. So there's a lot of interest in it. So there is engagement, there is interest, and then you get the classical sales cycle of enterprise sale. So I believe we're going to see more adoption and more growth throughout the 2023.
Laura Martin: And then, my second question is, you guys are in a really great position to look at what's happening with different vertical delivery. So we're hearing from sort of mixed things about retail. Have you seen ad campaigns get pushed off and canceled in Q4? And what's going on? I would love your insight into when you're looking at your actual deliveries, what's going on autos versus retail versus CPG? Could you give us just a, what's going on with a vertical mix of your deliveries these days? 
Zvika Netter: Yes, I would say, it is more, maybe even call it tactical than strategic. And I'll explain what I mean. I mean, the last time we see something, we saw something very significant in the vertical basis, and that's probably you remember, all of us remember from we have scars from that it's not the auto, which was this, supply challenge issue with the microchips. And it was just like industry wide and everybody cut. Since then, we haven't seen a very dramatic shift, and their detainment kind of post COVID entertainment and the movies like that, we're not seeing that type of volatility on a vertical basis. What we are seeing is specific brands, like we did, like all other our colleagues in the industry did when we look at our marketing budget or efficiencies, we wouldn't be profitable. So does the large organizations, so you see much more attention to ROI, you see much more attention to return on ad spend to performance to measurement, and much quicker.  So if sometimes it will be enough for us to see the spending in January, February, with a brand and know how exactly the rest of the year is going to look like because they planned it the year ahead? Absolutely nothing. If she gets stuck without the product, you have some latent issues, you have economical headwinds. Even if you're a large brand, you make very quick adjustments, right. So I think what we'll see on the brand by brand, so you can be in the same vertical and one brand was decided cut budgets, and maybe another brand will decide to make, use this opportunity and be more aggressive.  So we're seeing more volatility by large brands. And I would not say I've seen it with other companies but like reports from other companies. We don't see a very significant trend on a very specific like we saw in a year ago. I think it's going to be more tactical on a brand by brand basis. Just in general, all the verticals that were very hurt, they're all back. But they're all, it's the economy situation. It's more generic thing. So it's this softness overall.
Operator: Thank you. At this time, we've reached the end of our question-and-answer session. I'll now turn the floor back to management for closing remarks.
Zvika Netter : Okay. I was writing another answer here. So I just want to take the opportunity to while these are economically interesting time and volatile, we're -- as you may hear, we're extremely confident about the future of CTV, the future of Innovid, we're capitalizing on investments we’ve done for the last 5 and 10 years. So we feel actually very excited about the future for what we can bring to market, the market in an efficient and profitable way throughout next year. And service our client. I want to thank you all for taking the time to join us today. Innovid is on the frontlines of CTV and we're preparing ourself to continue to capitalize on the future and television and by no means at no point falling behind. But it is -- our job is to lead the innovation for the benefit as we discussed today, the advertisers, the publishers, and of course, the consumers for a better experience. We hope to see you on the upcoming investor day next week at the New York Stock Exchange, I hear it's going to be exciting and interesting. We're going to discuss our vision, but we're also going to bring a live product demo on stage, so show you the actual product in action, which is always exciting and we're going to unpack the CTV, how we see it kind of back to Laura's questions and we're going to talk more about how we see the future of CTV across this very exciting and complex landscape. As always, I want to like to thank our talented and dedicated employees during this period, loyal customer base and of course, the shareholders who are trusting us as we continue to our mission to reimagine TV advertising. Thank you all and have a great Happy Veterans Day. Bye-bye.
Operator: This will conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.